Operator: Good morning, and welcome to the Alamo Group's First Quarter 2025 Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Edward Rizzuti, Executive Vice President Corporate Development, Investor Relations and Secretary. Please go ahead.
Edward Rizzuti: Thank you. By now, you should have all received a copy of the press release. However, if anyone is missing a copy and would like to receive one, please contact us at (212) 827-3746, and we will send you a release and make sure you are on the company's distribution list. There will be a replay of the call, which will begin one hour after the call and run for one week. The replay can be accessed by dialing +1 (877) 344-7529 with passcode 3570057. Additionally, the call is being webcast on the company's website at www.alamogroup.com and a replay will be available for sixty days. On the line with me today are Jeff Leonard, President and Chief Executive Officer, and Agnes Kamps, Executive Vice President and Chief Financial Officer. Management will make some opening remarks and then we will open up the line for your questions. During the call today, management may reference certain non-GAAP numbers in their remarks. Reconciliations of these non-GAAP results to applicable GAAP numbers are included in the attachments to our earnings release. Before turning the call over to Jeff, I would like to make a few comments about forward-looking statements. We will be making forward-looking statements today that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties which may cause the company's actual results in future periods to differ materially from forecasted results. Among those factors which could cause actual results to differ materially are the following: adverse economic conditions, which could lead to a reduction in overall market demand, supply chain disruptions, labor constraints, competition, weather, seasonality, currency-related issues, geopolitical events, and other risk factors listed from time to time in the company's SEC reports. The company does not undertake any obligation to update the information contained herein, which speaks only as of this date. I would now like to introduce Jeff Leonard. Jeff, please go ahead.
Jeff Leonard: Thank you, Ed. I want to thank everyone who's joined us on the conference call today and express our appreciation for your continued interest in Alamo Group. Our results for the first quarter were broadly aligned with our expectations. The Industrial Equipment division again produced strong results as demand from governmental agencies and contractors remained quite strong. The Vegetation Management division's results improved sequentially as cost reductions taken in the second half of 2024 improved profitability and as rising order bookings began to indicate a modest market recovery. I would now like to turn the call over to Agnes, who will take us through a review of our financial results for the first quarter. I will then provide additional comments on the results and say a few words about the outlook for the second quarter. Following our formal remarks, we look forward to taking your questions. Agnes, please go ahead.
Agnes Kamps: Thank you, Jeff. Good morning, everyone. Amid a dynamic operating environment, we continue to execute with discipline and delivered improved results to start 2025. Let's begin with reviewing our financial performance for the first quarter. First quarter of 2025 revenue was $391 million compared to strong prior year first quarter revenue of $425.6 million. Gross profit for the quarter was $102.8 million with a margin of 26.3% of net sales. The increase of 10 basis points compared to the same period in 2024 is a result of continuous improvement initiatives in our industrial equipment division and cost reduction actions completed in our vegetation management division. SG&A expenses were $54.3 million, which is a reduction of 10%, driven by savings in our Vegetation Management division. Operating income in the first quarter of 2025 was $44.5 million with an operating margin of 11.4% of net sales, reflecting an improvement of 40 basis points compared to the first quarter of 2024. Net income for the first quarter was $31.8 million or $2.64 per diluted share compared to net income of $32.1 million or $2.57 per diluted share last year at the same time. Interest expense decreased $2.9 million compared to the same period in 2024, driven by significantly lower debt levels. The provision for income tax was $10 million, resulting in an effective tax rate of approximately 24%. With that overview, let's take a closer look at our performance in our divisions. Vegetation Management division reported net sales of $163.9 million, a 26.8% reduction compared to the first quarter of 2024. While it is a reduction compared to the strongest quarter in 2024, it is a 2.6% sequential improvement as bookings and backlog appear to have stabilized. Operating income for this division was $13.3 million, representing 8.1% of net sales. We are pleased to see that savings from our cost reduction actions taken in 2024 are evident in our results. Vegetation Management division operating margin improved 410 basis points sequentially. Industrial Equipment division net sales were a record $227.1 million, representing 12.5% organic growth compared to the first quarter of 2024. Growth in the first quarter was driven by strong sales of excavator and vacuum trucks, as well as snow removal equipment. Operating income was also a record $31.2 million or 13.7% of net sales, which was a 120 basis point improvement compared to the same period last year, a result of our operational excellence initiatives. Moving on to the balance sheet. We had a good start to the year. Our financial position remains strong, providing us with flexibility to support ongoing initiatives and future investments. Our total assets were $1.505 billion at the end of the first quarter, representing a decrease of $14.7 million or 1% compared to last year at the same time. An increase in cash and cash equivalents was offset by a decrease in accounts receivable and inventory. We reduced our accounts receivable by $53.3 million to $339.6 million, also representing a reduction in day sales outstanding compared to the same period in 2024. Inventory of $356.4 million was also reduced by $28.1 million compared to last year. Reductions we achieved in the Vegetation Management division offset an increase in the Industrial Equipment division. Higher inventory in the Industrial Equipment division supports double-digit growth in that division. As a result of our disciplined cash management, the operating cash flow in the first quarter of 2025 was $14.2 million. At the end of the first quarter of 2025, our total debt was $216.8 million and debt net of cash was $16.5 million. This is an improvement of $183.2 million or 91.7% compared to the first quarter in 2024, driven by strategic debt reduction and strong cash generation. To conclude, I would like to emphasize our commitment to delivering long-term value to our shareholders. We are pleased that our board has approved a quarterly dividend of $0.30 per share. As we move forward, we will remain focused on driving growth and optimization of our operations. Thank you. I'll turn it over back to Jeff.
Jeff Leonard: Thank you, Agnes. I'd like to add a personal welcome to everyone who was on the call with us this morning. The company's first quarter results were broadly in line with our expectations given the mixed conditions that continue to be evident in our markets. The governmental, industrial, contractor, and vegetation markets continue to develop at different tempos during the first quarter of 2025. Fleet renewal and maintenance investments by governmental and industrial contractor customers served by our Industrial Equipment division continued at a robust level, and market activity remains strong from these key customer groups. Industrial Equipment division first quarter net sales of $227 million were up 12.5% compared to the first quarter of 2024. Sales of the division's vacuum trucks and excavators were sharply higher than the prior period first quarter, driven by strong demand from rental fleet operators and municipalities. Sales of snow removal equipment were also sharply higher year over year, as large contractors continued to upgrade their fleets with the latest equipment, including our unique wide wing plow system that allows a single plow truck to clear snow and ice from two traffic lanes simultaneously. Sales of sweepers also improved nicely, while sales of leaf collectors and highway safety equipment were modestly lower compared to the same period in the prior year. Ordering activity was solid across all product lines in this division, and bookings rose slightly compared to the prior year first quarter, which was by far the strongest quarter of 2024. Orders for the division's street sweepers, leaf vacuums, and highway safety equipment led the way and were up sharply compared to the first quarter of 2024. The division ended the quarter with a backlog of $513 million, down 8.3% from the prior year but up 6.6% sequentially. This division reported strong first quarter operating income of $31.2 million or 13.7% of sales versus $25.3 million and 12.5% of sales in the prior year. EBITDA was $37.3 million, 16.4% of sales, versus $31 million and 15.3% of sales one year ago. All in all, the Industrial Equipment division produced excellent results, and the 120 basis point expansion of its operating margin was especially noteworthy. The Vegetation Management division continued to face headwinds in several of its key markets during the first quarter, although a modest recovery in conditions was again evident. Dealers have remained cautious as hopes for additional interest rate relief dimmed in the face of current uncertainty surrounding global trade and tariffs. First quarter net sales of $163.9 million declined 27% versus the strong comparison period last year. Division operating income in the quarter was $13.3 million, 8.1% of net sales, marking a decline from $21.7 million and 9.7% of net sales in the first quarter of 2024. However, compared to the fourth quarter of 2024, operating income improved sequentially by $6.8 million or 106%, reflecting the benefits of the efficiency measures implemented in the second half of last year. More positively, Vegetation Management's first quarter order bookings marked a nearly 18% improvement from the first quarter of 2024 and a 3% sequential improvement from the fourth quarter of 2024. This was the fifth sequential quarter that vegetation management divisions have moved higher. Order cancellations were the lowest the division has recorded since the start of 2024 and represented less than 2% of orders received. We were pleased that orders for agricultural equipment in North America were up 26% in the first quarter versus the same period of 2024. According to the AEM's monthly tractor retail report, field inventory of tractors under 100 horsepower declined 2% in the first quarter despite retail sales for these tractors declining nearly 14% over the same period. This was partly attributable to pessimism among farmers due to ongoing concerns about the potential impact of tariffs on markets for crop exports. The increased orders we reported, in our view, also reflect the low level of channel inventory of our products. From the peak in early 2022, the number of our machines in the channel has declined by nearly 72%. Forestry and tree care equipment orders were also up strongly, nearly 52% this quarter compared to one year ago. This recovery was consistent across North America and Europe. Demand for tree care products was notably stronger, while demand for the larger industrial scale chipping and grinding equipment continued to improve as the market stabilized. Mowing equipment orders from governmental agencies were up 35% versus the first quarter of 2024. This reflected not only strong demand from governmental buyers but also increasing demand for the company's unique Mantis self-propelled tool carrier platform. Finally, order bookings from the division's customers in Europe declined 12%, driven lower by concerns about global trade and tariffs. The decline is also partly attributable to an unusually large order in the first quarter of 2024 in The United Kingdom that made the comparison more challenging. Vegetation management division first quarter EBITDA was $20 million or 12.2% of net sales compared to $29.2 million or 13% of net sales in the comparison period of 2024. On a sequential basis, EBITDA improved by nearly $4.7 million, marking an improvement of 260 basis points from the fourth quarter of 2024. Positive benefits of the aggressive cost actions taken in the second half of 2024 are evident in these results. On a consolidated basis, first quarter net sales of $391 million, although down just over 8% compared to the prior year, reflected a modest sequential improvement versus the fourth quarter of 2024. Despite the lower sales, gross margin improved slightly. Operating income of $44.5 million was down 5.4% versus the first quarter of 2024, although operating margin improved by 40 basis points on the lower revenue. This reflected the more than 10% year-over-year reduction in consolidated SG&A expenses, associated with the efficiency initiatives carried out last year. Sequentially, operating income improved by more than $10 million or 29% due to improvement in gross margin of 250 basis points. First quarter net interest expense also declined in line with the lower net debt. Our tax rate in the quarter was slightly higher than the first quarter of 2024, resulting in fully diluted earnings per share of $2.64, down $0.03 from the first quarter of 2024, but up $0.31 versus the fourth quarter of last year. The combination of the sustained strength of our industrial equipment markets, ongoing recovery of our vegetation management markets, improving internal efficiencies, and a lower administrative cost structure bodes positively for company performance over the next several quarters. While tariffs and uncertainty in global markets remain as risks, we believe we are taking the right actions to prepare for their known and potential impacts. As a result, we are pleased with the company's current position, and our outlook remains optimistic regarding our prospects for the remainder of 2025. Before concluding my remarks today, I'd like to say a few words about our plans for corporate development. Agnes has provided an update on the strength of our balance sheet and our very low net debt at the end of the first quarter. As we have shared in our remarks several times recently, we are enjoying an increase in the number of opportunities for acquisitions of meaningful scale. We are encouraged at the level and quality of the opportunities we are seeing. This is the most active M&A market we've experienced for several years. We continue to actively pursue several smaller tuck-in opportunities as well, that align with our strategy. This concludes our prepared remarks. We're now ready to take your questions. Operator, please go ahead.
Operator: Thank you. We will now begin the question and answer session. Our first question will come from Chris Moore with CJS Securities. Please go ahead.
Chris Moore: Hey, good morning, guys. Nice quarter. Thanks for taking a few questions. So maybe we could just be a little more specific in terms of the pain points from tariffs. My understanding is very little from Mexico, you'll need to move some production from Canada to The U.S., and you import some drivelines from China. First of all, is that correct? And is there anything else we should be thinking about?
Jeff Leonard: Yes. That is broadly correct, Chris. And during the first quarter, about 70% of our consolidated revenue came from within The U.S., about 10% from Canada, and then the other countries around the world represented a smaller amount because of the decline in activity in Europe that I referred to. So as you think about tariffs, we're largely protected within The U.S. from all but the reciprocal tariffs. And as I've commented before, those will tend to flow through as cost inflation. We are starting to see some of that come from a few suppliers. On the other hand, it's been more modest than I expected in terms of percentages, so that's a positive. From Canada, we export both snow removal equipment and our largest deck-type mowers. The snow removal equipment we've largely already shifted or are in the process of shifting to our Worcester, Ohio facility so that we'll be able to produce the needs for The U.S. market inside The U.S. and the needs from the Canadian market inside Canada. So I've been feeling very comfortable with that one. The large deck-type mowers from Schulte we're in the process of assessing what we can do with those. We're protected for the moment under the current terms of the current trade agreement, so we don't have an immediate risk there. But we could, for example, shift production of those mowers down to our facility in Selma, Alabama. It would take a little bit of time, probably a quarter or two, but it's a very doable thing for us. So we're feeling pretty confident about it at the moment. We've taken all the steps we can to mitigate it. It's really these reciprocal tariffs that are a little bit of an unknown because there's Chinese content, for example, in lots of things, and we don't always know as you get down into industrial components how much Chinese content there is when you get down into it. But we're watching it very, very closely, and we've been successful so far in pushing back on our suppliers as they've sought larger increases than we felt were warranted by the actual impact of the tariffs. So at the moment, things are going pretty well, and I'm happy with the direction of it.
Chris Moore: Got it. Very helpful. I mean, staying with tariffs for a second, is it fair to say that perhaps the biggest unknown right now would be the inflationary impact ultimately impacting customer demand in 2H?
Jeff Leonard: Yeah. That is a fair thing, Chris. That's how I'm thinking about it. And I think that demand to change if it comes would be mostly non-governmental. I don't think it's going to impact governmentals too much. The latest information on the governmentals continues to show they're in great fiscal shape. So there's been no change there. And in fact, they're increasing their spending on all things maintenance-related at the moment, so that's good to see. But a generalized recession or stagflation are the things that we should be thinking about and should be worrying about because those take all of our businesses down as they do virtually every industrial company. I see no evidence of that yet, but it certainly remains a risk. And I'm encouraged that we're starting to see some signs of peace in tariff fights that are ongoing. And obviously, the market's been reacting pretty positively to that as well. So, yes, you're thinking about it correctly, Chris.
Chris Moore: Very helpful. Maybe just the last one for me. Just in terms of pricing power, are there some products, markets where it's stronger than others, and just kind of how are you thinking about that?
Jeff Leonard: Yes. We've still got reasonable pricing power in the governmental and industrial segment because our lead times are still in pretty good shape compared to some of our other competitors. So that's helping us a bit. In the vegetation side, we don't have a lot of pricing power right now. The markets are just starting to crawl up off their knees. But I think that'll come back relatively quickly. And I commented last quarter, I still feel that way that the back half of 2025 is going to look significantly better in vegetation, and all the indicators continue to support that. So we may see a little bit of pricing leverage come back in that space eventually as well.
Chris Moore: Very helpful. Thanks, Jeff. I'll jump back in line.
Jeff Leonard: Thanks, Chris.
Operator: Our next question will come from Michael Shlisky with D.A. Davidson. Please go ahead.
Linda Wiley: Hi, good morning. This is Linda Wiley on for Mike. Thank you for letting us ask a few questions, and congratulations on a great quarter. So my first question is, you guys reported a 40 basis point year-over-year increase in operating margin despite sales being down. Can you help us understand what drove that? Was it mix, or was it, like, the effect of your cost reductions? What were the main drivers?
Agnes Kamps: Hi, Linda. Nice to hear you again. Let me take that first. You might remember last year, in light of the downturn in the vegetation management division, in agricultural markets, we took an initiative to cut costs. We have announced about $25 million to $30 million on a twelve-month basis. And so those cost-cutting initiatives have benefited us in the first quarter. So as you've seen vegetation management margins, that is all driven from those cost reduction actions mainly. So you can see that in SG&A, you can see that in gross margin as well.
Jeff Leonard: And Linda, keep in mind, since we announced those cost reduction actions, we've really much completed these two very large facility consolidations, moving our forestry business out of the Worcester facility up to the Wynn, Michigan facility, and transferring the Rhino mower production from our Gibson City, Illinois plant down to our Selma, Alabama plant. So we've gained efficiencies in those facilities as a result, and then we made a fairly significant move in the SG&A as you can see in our financial statements. Those are really what drove it.
Linda Wiley: Thank you both for the clarification. I remember you announcing that, and it's paying off, it's great to see. So my second question is Alamo is nearly debt-free at this point, net of cash. So now you can start putting this cash you generate that you have been putting towards the debt to other uses. Can you give us a little more color on the M&A market? I know you gave us a little update, but more color would be helpful. And then outside of M&A, your share count is so low. But would you consider buying back shares or starting a special annual dividend maybe?
Jeff Leonard: Yeah. I mean, our first priority is clearly M&A at this point, Linda. There's a couple of large transactions in the works that are moving. At the moment, not just talk, but actually moving. They are of interest to us, and we're pursuing them vigorously. And then as I commented on the call, there's a couple of nice tuck-ins for us that are moving along at a very nice pace as well. So it's clearly M&A, and we've just discussed that with our board at length. That remains our first priority. We have the authority to buy back shares too for some reason these M&A opportunities don't materialize. But I'll be very disappointed if that's the direction. I'm feeling pretty confident about the direction of the M&A at the moment.
Linda Wiley: Got it. And then lastly, on vegetation. So vegetation orders being up, that's very promising. What's your line of sight to seeing vegetation revenues increasing year over year in the back half of '25 and as well as 2026?
Jeff Leonard: Yeah. That's a great question. Like I said, this is the fifth quarter in a row we've seen improvement in bookings in that part of our business. And it was widespread. It was across ag as well as forestry and tree care. Well, the only part that was down a little bit was our European operations. So the backlog is building. It's not building dramatically yet, but it's building and it's building consistently. And the quality of the backlog looks pretty good. And the mix of the orders that are coming in is actually very favorable at the moment. So, we're optimistic about the back half of this year looking a lot better than the last few quarters have been in that space. So I feel very good about the direction of vegetation right now. And I kind of like the fact the upward pace is modest at the moment and not another sort of ground surge as we saw during the pandemic, which obviously was not all real demand at that point. This is real demand. This is people who are putting down their money in a relatively higher interest rate environment, so you know they're serious buyers.
Linda Wiley: Nice. So if I can sneak in one more on vegetation based on what you just said. So is that to say that you've seen your dealers being more open to take on inventories in vegetation?
Jeff Leonard: Yeah. I wish I could say that. That is true in forestry. Our dealers are getting more active in forestry. And again, in forestry, they don't get inventory as much material as they do in ag. In the ag space, the dealers are still feeling a lot of pressure, but our situation is now pretty unique in that our inventory, our own channel inventory is remarkably low. I commented on the call, it's down over 70% from its peak. So at the moment, we're getting these orders based off of our own inventory. We're supporting the dealers with the inventory that's in our hands, and you saw our inventory came down as well during the quarter. So that bodes well. And our dealers have said now they will begin to restock. I think we're going to see that start to happen in the second quarter. So the direction is clearly upward at this point, although there's still a lot of pressure on these dealers.
Linda Wiley: That makes sense. Thank you for your time this morning.
Jeff Leonard: Great to talk to you a little bit.
Operator: Our next question will come from Greg Burns with Sidoti and Company. Please go ahead.
Greg Burns: Good morning. When we consider some of the cost initiatives, the facility consolidations that you've been engaged in on the vegetation management side of the business, are those fully complete, or are there other kind of projects in the pipeline here that are still finishing up? And how should we think about what is left to gain from these projects that you have from a cost and efficiency perspective?
Agnes Kamps: Hi, Greg. Good to hear you again. From cost reduction initiatives, those are completed. So those have been done in the second half of last year. However, with the consolidations of the factories, we still have some work to do to gain efficiencies from our processes, from our manufacturing layouts and whatnot. So there's certainly more efficiencies coming in the pipeline. And as always, we have quite active contingency planning, so there's always activities and planning going on. But certainly, as we look into following quarters, there will be more benefit from efficiencies in those factories.
Jeff Leonard: Yeah. It's Jeff here. There's still follow-on work we're doing that goes beyond the initial amount of cost savings. There's still another plant consolidation we're working on in Europe and another one in North America. So there's still more to come. We're not resting on our laurels. So that's kind of how we're thinking about hedging the recession risk that may come here. So we're gonna keep driving. We're not ready to announce the value of those yet, but we will in due course.
Greg Burns: Okay. And then considering the leaner cost structure on the vegetation management business, looking forward, as markets recover, volumes start recovering, how should we think about the margin profile of that business on a go-forward basis versus maybe where it was in the prior peaks of the market?
Jeff Leonard: You know, Greg, in terms of percentage margin, I'll be disappointed if we don't get back at least to where we were because we've taken so much fixed cost out of that business. We should get quite a bit of leverage as the top line recovers in that space. So we're still driving to a 15% margin target. That's where we want to go. And we don't get there if one of our divisions doesn't meet it. So that's where we're going. So I think there's plenty of room to recover the margins, and I'm hoping we can go beyond where they were during the best period of the pandemic years. We should be able to because even in those great times, we were carrying quite a bit of facility under absorption. I've commented about that a few times. So by closing facilities, we take that fixed cost out of the business permanently, and therefore, we should see that better leverage as the market recovers.
Greg Burns: Alright. Great. Thank you.
Jeff Leonard: Thanks, Greg.
Operator: Our next question will come from Mircea Dobre with Baird. Please go ahead.
Mircea Dobre: Thanks. Good morning. Just a clarification on commentary on tariffs. The way I kind of heard you referenced those is mostly on finished goods and kind of where you're shifting production. But I guess what I'm wondering is within your U.S. business, how should we think about the impact on cost? On your cost, whether it's component or raw materials, things of that sort that might be subject to these tariffs?
Jeff Leonard: Yes. Thanks, Mig. That's a great question. As other industrial companies are reporting, we're sort of thinking that it may flow through as a 5% increase in purchase material costs. We've seen suppliers trying to move price a little bit more than that, but it's just not warranted at this point. So that's the way we're modeling it out. We haven't seen too much of it yet. Only a handful of suppliers have tried to push through price increases so far, so it's early days. But it is all these reciprocal tariffs, Mig, as I've commented several times. Those are the ones that we'll have to work our way through, and we're gonna have to manage that by both improving our own efficiencies as we continue to do as well as by really working our supply chain and working price. All three dimensions are gonna have to be part of the process to work through that to hold our margins.
Mircea Dobre: So would that 5% be as a percentage of the cost of goods sold? Is that the way to think about it?
Jeff Leonard: No, of purchase material costs, Mig.
Mircea Dobre: And can you size that in terms of dollars or percentage of cost of goods sold?
Jeff Leonard: I can't do it in terms of dollars out of my head, but in terms of actual cost of goods sold, it would be something like 1% to 2%. Between, you know, you peel off what we manufacture ourselves, which is large, our facilities are vertically integrated. And peel labor back out, and that's what you'd be left with.
Mircea Dobre: Okay. So it would be a 5% increase on 1% to 2% of cost of goods sold, you're saying?
Jeff Leonard: Yes. No, that's not what I'm saying. It would be a 1% to 2% impact on cost of goods sold, 5% of purchased materials. It gets diluted because we produce a portion of our cost of goods sold ourselves, right? From raw materials, and we add the labor. So you asked me at cost of goods sold level, it would be 1% to 2%.
Mircea Dobre: Understood. I apologize. Just want to make sure that I understand all of that. And then I'm also wondering your thoughts on steel prices. And maybe it is a good reminder here in terms of how important steel is for you in the overall cost structure? Because we've obviously seen higher steel costs after the tariffs were enacted back in March. So I'm curious how you think that's going to flow through?
Jeff Leonard: Those we've largely already passed on to the market, Mig. We react really quickly to those because we're used to these cycles in steel price. They've been fluctuating quite a bit over the last few years. So we're pretty good at reacting to that. We track it very closely across the company, and we produce reports every month of the steel price we're paying in every facility we have around the world. And then we bench those against the metals indexes around the world, the London Exchange, the American Metals Exchange, and so on. Make sure we're tracking the indexes very closely and not being taken advantage of in any way. We document those, and then we pass them on to our customers. And our customers are very used to that. It doesn't shock them at all.
Mircea Dobre: Understood. And then my final question, I think in your prepared remarks, you mentioned that you would give us some color on Q2, and perhaps I missed it, but again, how do you think about Q2 relative to Q1 for each segment? Thank you.
Jeff Leonard: Yes. Okay. So I think let's start with the easy one. Vegetation management should tend to rise slowly, both in terms of sales and margin. That's my expectation. We've got all the cost of the cost, if you want to call it that, the impact of the cost reduction programs, the costs associated with those are behind us. We should start to see that margin in vegetation expand as we did in this quarter. It's sequentially improving, and I think it will sequentially improve again in Q2. In industrial, I think we'll continue to also see an expansion of both sales and margin. Both Q2 and Q3 in industrial look quite good. The backlog in that division is back above half a billion dollars again, and the quality of the backlog is really good. You'd commented in Q4 about the short orders at that time, and I think I said to you it was mostly timing. And so you've seen the timing sort of catch up now in the first quarter, which was very gratifying to see. So I think that we're gonna see a nice improvement in Q2 in industrial and another sequential improvement in vegetation in the second quarter.
Mircea Dobre: Alright. Thank you.
Operator: With no further questions, this will conclude our question and answer session. I would like to turn the conference back over to management for any closing remarks.
Jeff Leonard: Thank you for joining us today on the call. We look forward to speaking with you on our first quarter conference call in August.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.